Operator: Good morning. My name is Dave, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Granite Construction Investor Relations Fourth Quarter 2022 Conference Call. This call is being recorded. All lines have been placed on mute to prevent any background noise. And after the speaker’s remarks there’ll be a question-and-answer period [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Granite Construction Incorporated, Vice President of Investor Relations, Mike Barker.
Mike Barker: Good morning, and thank you for joining us. I'm pleased to be here today with President and Chief Executive Officer, Kyle Larkin; Executive Vice President and Chief Financial Officer, Lisa Curtis. Please note that today's earnings presentation will be available on the Events and Presentations page of our Investor Relations website. We begin today with a brief discussion regarding forward-looking statements and non-GAAP measures. Some of the discussion today may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are estimates reflecting the current expectations and best judgment of senior management regarding future events, occurrences, opportunities, targets, growth, demand, strategic plans, circumstances, activities, performance, shareholder value, outcomes, outlook, guidance, objectives, committed and awarded projects, or CAP, and results. Actual results could differ materially from statements made today. Please refer to Granite's most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these forward-looking statements. The company assumes no obligation to update forward-looking statements, except as required by law. Certain non-GAAP measures may be discussed during today's call and from time to time by the company's executives. These include, but are not limited to, adjusted EBITDA, adjusted EBITDA margin, adjusted net income and adjusted earnings per share. The required disclosures regarding our non-GAAP measures are included as part of our earnings press releases and in company presentations, which are available on our website, graniteconstruction.com under Investor Relations. We will also be discussing comparable results which excludes the effects of Granite Inliner, which was sold in March 2022. Now I'd like to turn the call over to Kyle Larkin.
Kyle Larkin: Good morning, and welcome to our fourth quarter conference call. We have a lot of good news to discuss today. However, before we share our strong results, I would like to briefly discuss the need to restate our first three quarters of 2022. As Lisa will discuss in more detail, the restatement was primarily caused by our failure to record a $12 million tax accrual in the first quarter resulting from the sale of Inliner. Importantly, we do not expect any impact to our fourth quarter or year-end results we're discussing today, and we expect to timely file our Form 10-K. Now turning to our strong results. During 2022, our centennial year, Granite achieved a number of important accomplishments, including the safest year ever, in both frequency and severity of safety-related incidents. We made notable progress towards achieving our strategic plan goals. We invested in our home markets and procured work with margins that align with our 2024 financial targets. At the same time, we worked through the majority of the Central Group's challenged Old Risk Portfolio or ORP. And our committed and awarded projects or CAP has continued to grow in both amount and quality. Our focus on execution is resulting in higher margins, and I believe we are positioned to experience margin expansion and sustainable growth as we continue to execute on our plan in 2023. Okay. Let's jump into the Construction segment. As I've said in previous calls, our markets are strong, and we are pleased with the mix of opportunities available across the company. As of the end of the quarter, our CAP totaled $4.5 billion, a sequential improvement of 10% or $408 million and a year-over-year increase of 12% or $475 million. Our CAP has also been transformed. We have moved away from complex, longer duration, higher risk projects and towards more Best Value and bid build projects in our current and future home markets, where we can leverage our existing relationships and resources to execute upon a balanced portfolio, a quick turn and longer-duration projects. We believe the combination of smaller and larger projects in our home markets allows us to maximize the utilization of our material, equipment and personnel while providing predictable work and stability for our regions. Turning to our operating groups. In the California Group, we ended the quarter with record CAP of $1.7 billion. This reflects a 13% increase from the California Group's third quarter CAP and an 18% increase over the prior year. Although the end of the year is typically a little slower in the bid room, we won more projects and higher margins when compared to the same period in the prior year. The increase in CAP reflects high levels of funding across the state and our team's successful effort to capture work. Approximately 50% of California's CAP at quarter end were Best Value projects. Caltrans, the California State Department of Transportation, has embraced The Construction Manager/General Contractor procurement method, and Granite has demonstrated our ability to partner with Caltrans to deliver high-quality work, which increases the value of the end product for the customer. In our experience, collaborative contracting such as CM/GC allows us to partner and innovate with owners before construction begins, to mitigate potential risks, and successfully deliver more complex projects, while avoiding disputes and claims. We are proud of our long history working with Caltrans. We believe Caltrans is well positioned to deliver central transportation projects and are excited for increased opportunities to partner with them to maximize value for the traveling public. Despite an overall deficit in the proposed California state budget, the state's transportation budget remains strong in 2023 supported by funding from the Federal Infrastructure Bill or IIJA. During the first year of the IIJA, California's Federal formula of transportation funding increased 42% or approximately $1.5 billion, with funding expected to remain at this level for the next several years. Although the majority of this funding has been allocated to projects as the state completes its planning and engineering process, it may still take considerable time for projects to reach the bid schedule. Despite possible delays in releasing IIJA funded projects, we believe opportunities in California will continue to increase, allowing us to build CAP and grow revenue in line with our strategic plan. Moving to the Mountain Group. We finished the year with CAP of $1.1 billion up 8% sequentially and 14% year-over-year, inclusive of CAP in the Water Resources division, which was held for sale as of December 31, 2021. As a reminder, the Mountain Group has diverse geographies including Alaska, Washington, Nevada, Utah as well as diverse businesses, including our water, solar and mineral exploration businesses that have a national footprint. Many of our businesses in the Mountain Group are vertically integrated and operate in long established home markets. Each of the Mountain Group geographies are different, but like California, the markets will benefit from strong public funding aided by the IIJA. In the fourth quarter, although we remained selective and bid fewer projects, we won more projects by dollar volume at higher margins in the same period of the prior year. This excellent result is a testament to the disciplined work of the Pursuit teams across the group. During 2022, the Mountain Group generated the most revenue of any group while securing a strong portfolio of projects in markets where we believe the group continue to grow cap in the first quarter of 2023. The Central Group ended 2022 with a sequential CAP increase of $135 million and a year-over-year increase of $76 million. As a reminder, the Central Group includes the Arizona, Illinois, Texas and Florida regions as well as the federal and tunnel divisions. 2022 was a year of transition for the group. The group is focused on two primary goals: first, complete the challenged ORP projects as efficiently as possible; and second, secure new work in their home markets, which aligns with our risk criteria. As anticipated, winding down the ORP projects presented challenges, but the group did well in pushing the project towards completion. The Central Group enters 2023 with remaining challenged ORP CAP of approximately $85 million, which is less than 3% of the company's expected 2023 revenue. As a result, our focus in 2023 will be on our Construction segment as a whole. I don't expect to talk about the ORP anymore, and that is good news for the company. During 2022, the Central Group did a nice job of focusing on their home markets, winning projects aligned with our strategic plan targets. Approximately 50% of the group's CAP are in the established home markets and the vertically integrated Arizona region and Illinois region, with just over 25% of the CAP in the Texas regions. During 2022, the Texas region has been successful in transforming their portfolio while focusing on the opportunities in their home markets. Our focus across the group has remained disciplined in our bid and win projects where we can leverage our competitive advantages and generate returns in line with our margin expectations. Overall, I am very encouraged by the tailwinds we are seeing not only in our Construction segment, but also throughout the entire civil construction industry. While it has taken longer than we had hoped for, IIJA funds have reached the states, money has been allocated to projects, and the states are working to get the projects out to bid. Our teams are focused on operational excellence, both in the bid room and during project execution. We made a lot of progress in 2022, and I believe we will continue to see meaningful improvement in profitability in the Construction segment in 2023 as we continue on our path to the 2024 EBITDA margin target of 9% to 11%. Now on to the Materials segment, where I'm pleased by the strong finish to the year. 2022 presented challenges driven by high inflation and commodity-related costs in the general inflationary climate across the nation and world. This volatility resulted in margin pressure despite strong materials volumes throughout the year. Our Materials business is a central component of our home market strategy. And in 2022, we made several investments to support the business. We acquired 99 million tons of aggregates in Utah, purchased a liquid asphalt terminal in Bakersfield, California, and initiated automation projects at multiple facilities. These investments were in addition to the normal CapEx related to our Materials business. In 2023, we plan to strengthen and expand our materials resources in our home markets, both organically and through bolt-on M&A. While we did not complete any bolt-on M&A in 2022, we explored numerous opportunities and are continually assessing new opportunities across our footprint. We are being very selective but there are many worthwhile prospects to consider in 2023. This year is off to a slow start with rain across California and much of the Western states in January but our materials backlog volume is ahead of 2022 in both aggregates and asphalt. I'm encouraged by the bid activity across the company and the declining impact of inflationary pressure on energy costs as we entered the first quarter of 2023. Now I'll turn it over to Lisa to review our financial performance.
Lisa Curtis: Thank you, Kyle. Let me first address the restatement. As Kyle mentioned, the restatement was primarily caused by a discrete tax accounting error identified during our year-end closing process. In the first quarter, we failed to record a $12 million tax accrual, primarily associated with the treatment of goodwill, related to the sale of Inliner. When combined with other immaterial out-of-period adjustments, this triggered the need for a restatement of our previously reported quarterly results. While we are disappointed, we do not expect any impact to our fourth quarter or year-end results, as they were reported today. And we expect to timely file our 10-K, which will include our restated quarterly financial information. Okay. Now back to our results. I am pleased with the progress and improvement in financial performance we achieved in 2022. We finished the year strong with fourth quarter adjusted net income of $25 million and adjusted diluted earnings per share of $0.56. For 2022, adjusted net income improved to $104 million and adjusted diluted earnings per share improved to $2.31. Adjusted EBITDA margin for 2022 was 6.4%, up from 6% in 2021. These gains in financial performance were driven by our team's improved project execution, despite the drag of the ORP and Materials margin pressure from inflation impacts earlier in the year. In 2022, the ORP resulted in gross losses of $51 million with a net loss, including NCI, of $35 million on revenue of $207 million. In the fourth quarter, the ORP did not significantly impact our results as the net impact of the portfolio was breakeven on revenue of $34 million. For the year, comparable revenue, which excludes revenue from Granite Inliner, was slightly down from the prior year, while comparable gross profit and gross profit margin improved $24 million and 78 basis points, respectively. In the Construction segment, annual comparable revenue declined $100 million year-over-year to $2.8 billion. This decline was primarily due to a $206 million decrease in the Central Group as ORP projects approach completion. The Central Group's revenue decline was partially offset by $118 million increase in the Mountain Group, driven by higher beginning CAP levels and stronger market conditions. The California Group remained largely flat year-over-year. As I have discussed previously, California Group revenue was impacted by delays and project start-ups earlier in the year. In the fourth quarter, we saw some improvement in that dynamic, which resulted in a year-over-year increase in construction revenue in the group. Annual comparable construction segment gross profit and gross profit margin improved $17 million and 96 basis points year-over-year to $300 million and 10.8%, respectively. Comparable annual non-ORP gross profit margin improved to 13.7% in 2022, up from 12.7% in 2021. In 2022, we made progress to improve our margins, and I believe that we are well positioned to further increase our margins in line with our strategic plan in 2023. In the Materials segment, annual comparable revenue increased $87 million year-over-year to $494 million, with comparable gross profit increasing $7 million to $65 million and comparable gross profit margin declining 96 basis points to 13.1%. We closed the year strong in the Materials business in the fourth quarter with comparable revenue increasing $29 million year-over-year and gross profit and gross profit margin increasing $11 million and 522 basis points, respectively. Fourth quarter 2022 gross profit margin was 19.9%, a great result, which helped to offset margin compression earlier in the year. The late year improvement was driven by volume increases coupled with price increases throughout the year. Volumes in the fourth quarter for both aggregates and asphalt exceeded the same period of the prior year in all groups. I look for that momentum to continue into 2023 with materials orders currently ahead of 2022 levels. On to our cash and liquidity. In 2022, we provided value back to shareholders through share repurchases of $71 million. We also made net debt payments of $75 million, paid dividends of $23 million and invested $122 million in the business through CapEx while maintaining our strong cash and liquidity position. As of the end of 2022, our cash and marketable securities net of debt was $72 million, flat against the prior year with liquidity of $629 million, including cash, marketable securities and revolver availability. With our cash and liquidity, we intend to continue to invest and grow our business organically and through opportunistic M&A in 2023. Now let's turn to our 2023 guidance. In 2023, we expect revenue to be in the range of $3.4 billion to $3.6 billion, which is in line with our strategic planned growth CAGR of 6% to 8%. Our assumptions are supported by our record year-end CAP of $4.5 billion and the increased levels of funding now available to state and local agencies. We are excited about our markets and the industry's outlook over the next several years as the nation implements the IIJA's generational investment in infrastructure. We expect adjusted EBITDA margin to improve from 6.4% in 2022 to a range of 7.5% to 9% in 2023 as we continue to improve our profitability in alignment with our strategic plan target of 9% to 11% in 2024. We expect SG&A expense to remain largely consistent with 2022 and we are providing guidance range of 8% to 8.5% for 2023. In 2023, we plan to continue to invest in both our materials and construction businesses through CapEx. While a portion of our investment is maintenance CapEx, such as equipment for Materials and Construction operations, our strategic plan recognizes the importance of vertical integration in the Materials business to our home markets and to our ability to maximize profitability. As such, in 2023, we intend to continue to invest in our materials plants to maximize efficiency and bolster materials reserves. In total, we plan to spend between $100 million to $120 million in CapEx in 2023, consistent with the spend in 2022. Finally, we expect our adjusted effective tax rate to be in the low to mid-20% range. Now I'll turn it back over to Kyle.
Kyle Larkin: Thanks, Lisa. I'll close with the following points. Granite in the construction industry as a whole are beginning to feel the tailwinds generated by the IIJA. It has taken time to get started, but we can see that funds have made their way to states and states are allocating those funds to projects. It will still take time for these funds to be reflected in our revenue, but we expect to see meaningful increases in project opportunities in 2023 as a result of the IIJA. As I said before, this should only improve the already positive market environment in 2024 and beyond. Next, our focus on operational excellence is paying off, and I believe will lead to further margin improvement in alignment with our 2024 adjusted EBITDA margin target of 9% to 11%. Lastly, we are committed to investing in the growth opportunities for our businesses. Although we pursued multiple opportunities in 2022, we did not close any M&A transactions. While we expect this to change in 2023, we will continue to be selective and will only pursue opportunities that fit our home market strategy and add value to Granite from day 1. Operator, I'll now turn it back to you for questions.
Operator: [Operator Instructions] Our first question comes from Steven Ramsey with Thompson Research Group.
Steven Ramsey: Wanted to start on the high end of 2023 margins at the low end of the 2024 targets. How much of this is due to keeping the Water segment? And at this point, do you think 2024 targets could prove conservative? Or do you need some more tangible operating progress before making that assessment?
Kyle Larkin: Yes. So thanks for the question, and this is Kyle. And I think really, if I understand your question correctly, it's what's our confidence level in that '24 projection of 9% to 11% EBITDA margin. And I think it kind of points back to a few things that we said we were going to do a year ago at this time. And first off, it was replacing the Old Risk Portfolio as we wound it down. That was a big area that we had to focus on, and to go back, it was around 220 basis points. And our teams have done. I think the CAP that we have on the books today really demonstrates across all of our operating groups that we could replace that CAP and replace the ORP work with really quality CAP, and we feel really good about that. We are focused today around operational excellence like we really have never had before. And I think that's allowing us to really drive margins up as well. And that's both in terms of bid day margins and project execution. So we're going to start to see that continue as we rolled out our construction playbook last year. We're going to start to see the benefits of that in 2023 and into 2024. In our Materials business, you saw a little bit of a drag in 2022 with natural gas and diesel. And that part of our business, we expect things are starting to normalize. We saw that in Q4. We expect that to continue into '23. And that's going to allow us, along with our automation investments to get to the margins we think in our Materials business. So all together, we feel pretty good about our 9% to 11% EBITDA margin range in 2024. I think we've made the incremental steps that we need to take, and we're on our way.
Steven Ramsey: Very helpful. And then on the central group margins, can you talk even just order of magnitude where FY '22 gross and EBITDA margin shook out and kind of where you think it lands in 2023? I'm just trying to get a sense of the segment improvement and where it stands in relation to corporate margins?
Kyle Larkin: Well, we don't break those out specifically, but I think the real question is around the ORP in Q4, I think, is -- as we were breakeven in the ORP in the quarter, which I think is very encouraging. We still have a little bit of work to do on a couple of projects to finish the ORP out. But Q4 was breakeven from that standpoint. As we move forward, without the ORP, the Central Group margins are in alignment with the rest of the company.
Steven Ramsey: Okay. Excellent. And then one last quick one for me. Many of our non-res channel checks in the public equipment rental companies had cited mega projects as key factors supporting their non-res market outlook. And I know large project is kind of a bad word in these parts. But thinking about large projects, reshoring and federal dollars being a tailwind to non-res, can you talk about how this is impacting you guys, this environment, if it's even having the effect of driving contractors to that segment of the market and maybe creating more space for you guys to succeed in your small projects? Just any high-level thoughts.
Kyle Larkin: I think we've -- over last year, I think we talked to each quarter that we were seeing our ability to pick up more work with higher margins, and that's continued on as an organization. So we feel like the competitive landscape has been better than certainly what we saw in '21. So that continued on in '22. And we continue to see it. We have not seen a whole lot of contractors making the shift today from private residential into the public space. And so no, I don't think that's been something we've seen today. And I can't really speak to the mega projects because we're not necessarily pursuing those mega projects anymore. So we don't necessarily have the visibility into that aspect. I can just add, I think one thing that we do have going for us is we aren't really correlated to residential construction. That's not a big market for us on the construction or construction materials part of our business.
Operator: Our next question comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Kyle, I'll start on your favorite topic, which is ORP. Just maybe a clarification. I think you said $85 million in remaining cap in '23, which sounds like it's a little less than what you thought a quarter ago. But can you dissect what's left in there? I think you had a few projects you'd expected to be wrapped up this quarter. What's sort of left within that $85 million and any time lines you can offer? Just for us to think about the flow-through through this year.
Kyle Larkin: Yes. Thanks, Brent. I'm glad you asked the question because I should clarify. As of Q3, we anticipate $55 million of challenged ORP going into 2023. 2 projects slipped on the schedule. And so we anticipate -- so today around $85 million of challenged ORP backlog come into '23. So it's really down to 2 projects. It's no longer a portfolio. If we recall, it's really down to these 2. One project to be done in early Q2, the other will go into Q2, Q3.
Brent Thielman: And Kyle, if I recall, there was 1 project in California that still remains profitable for you, but still got thrown into the mix of that portfolio. Is that complete?
Kyle Larkin: Yes. That project is not complete, but it's a profitable project. It's going to be built as part of our California Group. And so we separated it out from the ORP to really highlight the challenge to ORP section. But again, I think Q4 was really encouraging for us. It was a breakeven quarter from an ORP standpoint. It represents, on the challenge side, less than 3% of our revenue in '23. And so again, we created the ORP to try to capture the risks we had with our old strategy and differentiate it from our future strategy. At this point, we do plan on kind of removing the ORP from the conversation moving forward because we don't see it being a huge risk. I don't want to suggest that these projects don't have risk. But we think based on Q4 and where we're headed, it's really insignificant to overall book of business. I will say we're hopeful that we'll have an opportunity to talk about cash collection along the way on specific projects. And we do have a lot of claims that are still out there on these jobs. And I would say over the next quarters to even years, we'll be able to talk about our cash collection with regards to resolving the claims that we think we're entitled money for.
Brent Thielman: Yes. And just the massive improvement in materials margins this quarter, there wouldn't be anything unusual in this print, this is totally reflective of cost capture, pricing's caught up and we can kind of think that continues through '23?
Kyle Larkin: Yes. I mean I think if you look at Q4, it was encouraging as well. Obviously, our aggregate sales were strong in 2022, the entire year. We saw in asphalt kind of dip in the California Group in the first 3 quarters. But our materials teams did a fantastic job in Q4, even despite a couple of weeks of tough weather in the West. And certainly, with natural gas dropping down, really normalizing as well as diesel, but we were able to kind of get some margin expansion in the quarter. So we do expect that momentum to carry into 2023. We have really strong backlog in our materials business, really similar to the cap we have in our Construction business, our Construction Materials business, backlog in terms of sales is very, very strong.
Operator: [Operator Instructions] Our next question comes from Brian Russo with Sidoti.
Brian Russo: Can you just talk about your California vertical integrated footprint and how you're participating in the storm response efforts from the January 2023 flooding? It's my understanding there's some short-term projects, but then there are lots of engineering work to be done, which could lead to larger projects later in the year. I suppose that's not in your CAP today and could be upside?
Kyle Larkin: Brian. So -- yes, we did get a lot of wet weather, certainly in the western part of the U.S. and California as hit hard, I'm sure you, and everybody else saw on the news. It's been a little slow on the emergency work front for us. I would say if we had to ballpark it somewhere around $10 million to $15 million worth of construction work from emergency response perspective, and you're right, a lot of the projects are going to come out as projects that we engineered and put out to bid over the year. So we will participate in those. I think it's hard to predict at the point what our success rate will be and how that really falls into our CAP. But more to come, I would suppose, on that. Some of the work down in Santa Barbara, where we were hit pretty hard in those communities, a lot of that work was put out with the Army Corps and a lot of that work went to small business enterprises.
Brian Russo: Okay. Got it. And then what's kind of the outlook for the WMS segment in 2023 specifically? I think it was about $100 million of revenue in 2022. Just wanted to get a sense for how that business is doing, which seems to be a little bit differentiated than kind of your core construction business?
Kyle Larkin: Yes. So the 2 pieces that remain in the company are our Water services and our Minerals business. And both of those were operating fine, a little bigger than the $100 million that you had. The markets are strong. We're seeing a really strong market in our Water business. Minerals is staying very strong to continue operating those businesses as part of our company. We haven't seen any change in the direction with those businesses, and they're contributing nicely.
Brian Russo: Okay. Great. And just lastly, the Alaska project regarding some landslides, repair to bridges that you announced last night, what's the significance of that within the Mountain Group?
Kyle Larkin: So that is significant. I mean it's a $100 million CM/GC job for the FHWA up at Denali National Park up in Alaska. It's a really nice opportunity for us. That's exactly the type of work that we're trying to procure. And that's how we constructed primarily over 2 years. So I would anticipate around $50 million a year or a little less for the next 2 years in that business.
Operator: Our next question comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Just a follow-up, Kyle, I mean, you kind of look at CAP over the last couple of years. I mean it's been sort of stagnant up until this quarter as you've been burning off some of the Old Work. Taking from your commentary, various things, what I guess as you look at the pipeline, the new business opportunities in front of you. I mean, does this sort of feel like a true inflection point in CAP and you can continue to build off a bit this year with the uptick in activity that's happening in California and elsewhere?
Kyle Larkin: Yes, we do. I mean I think this is certainly what it is. We've had a nice market over the last year. And with the IIJA funds kind of in place, and we expect those will accelerate as time goes on, and we're starting to personally kind of early stages of those funds getting out to the states. So we expect it to continue. I can tell you, we're actually negotiating several broadband projects right now out in the West. I think it will be really nice additions to our CAP in Q1. And I think at the pace we're looking in Q1 already in 2023, I would expect our CAP to continue to grow after the first quarter if we continue to hit the pace where we're at today.
Brent Thielman: Okay. And then just in consideration of the awful weather you've had to deal with, I mean, first quarter is never particularly significant quarter from a full year perspective. But would it -- is it any more unusual than years passed that we ought to be considering as we kind of build up to the outlook for the full year this year?
Kyle Larkin: No, I think it's a little early to know. I mean, if we're going to get wet weather, I think the first couple of weeks, 2 or 3 weeks in January is probably the preferred time to get it. That's our slowest time of the year. So that would be the best time to get the wet weather. We'll see how it goes from a weather perspective. Obviously, with our guidance this year. Some of the main drivers, our ability to meet it or exceed it. One of them is weather, and that's going to be a big thing we're going to keep an eye on. We can't necessarily control it. But Q1 has been dry since those storms. So we'll see how Q1 shapes up. And then obviously, Q4 is always a little bit of a wildcard as to how it's going to finish up.
Operator: Our next question comes from Steven Ramsey with Thompson Research Group.
Steven Ramsey: Two quick follow-ups. EBITDA margin range is fairly wide. I guess, what are the swing factors you're looking at that could move you to the low and high end? You talked about weather, but is there anything else?
Lisa Curtis: Yes. Steven, I can make a couple of comments on that. So as Kyle talked about, weather is a component looking at Q1 and Q4. And then as we work on our strategic plan, remaining diligent on bid day, as well as for our project execution, that's something that we're closely monitoring throughout the year. We've got good momentum going from 2022 into 2023. And as well -- and also with opportunities with the IIJA, as those roll out, we started to see some of those in Q4. So really, those are just a few of the components that we -- that are included in the range that we provide for EBITDA margin.
Kyle Larkin: And maybe I'll just add, I think, a point around the risk -- to kind of the derisking of the company. I mean, certainly, over the last 2 years, our company has looked a lot different than it looks today. If you look at our CAP and the work that we have on the books. And we think the project execution and risk is reduced significantly over where we were in the last couple of years. So I think we anticipate having more consistent financial performance as we move forward.
Steven Ramsey: Very helpful. And then something else to follow up on. On operating cash flow, it looks like working capital or claims and JV contributions maybe were a drag to operating cash flow. Can you maybe share any details there? And if you think operating cash flow will be much better in 2023?
Lisa Curtis: Yes, Steven. So for the contributions that we made in 2022, those are higher than we had initially planned during -- at the beginning of the year. And so they relate to the non-sponsored joint ventures and those continue to have some challenges throughout the year. So that contributed to what we're seeing at the cash flow for the full year. As it relates to operating cash flow for 2023, how we look at it, that is a component in our incentive compensation plan that we added last year to really have the company focus on the cash flow component because, as you know, we've -- that's something that's been very volatile for us historically and is included in our strategic plan, and bringing the company together to make sure that, that's an area of focus. And so for us, operating cash flow target is around 5%. And so then when you think about it for CapEx, maintenance FX is anywhere from 1.5% to 2%, which then leaves free cash flow to 3% to 4%. So that's how we look at operating cash flow internally and then the various components to get to free cash flow.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Larkin for any closing remarks.
Kyle Larkin: Okay. Thank you for joining the call today. And as always, we want to thank all of our employees for the work they do every day. I can't think of a better way to close out our centennial year in achieving the safest year in Granite's history, along with our highest net income since 2008. Granite is well positioned as we build beyond 100. Thank you for your interest in Granite. We look forward to speaking with you all soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.